Operator: Good afternoon. My name is Kelly, and I will be your conference operator today. At this time, I would like to welcome everyone for the Q1 2014 Conference Call. All lines will be placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session (Operator Instructions). Thank you, I will now turn the call over to David Pasquale of Global IR Partners. Mr. Pasquale, you may begin your conference.
David Pasquale: Thank you, operator. Welcome everyone to Lattice Semiconductor’s first quarter 2014 results conference call. Joining us today from the company are Mr. Darin Billerbeck, the company’s President and CEO; and Mr. Joe Bedewi, Lattice’s Chief Financial Officer. Both executives will be available for Q&A after the prepared comments. If you have not yet received a copy of today’s results release, please e-mail Global IR Partners using lscc@globalirpartners.com or you can get a copy of the release off of the Investor Relations section of Lattice Semiconductor’s website. Before we begin the formal remarks I will review the Safe Harbor statement. It is our intention that this call will comply with the requirements of SEC Regulation FD. This call includes and constitutes the company’s official guidance for the second quarter of fiscal 2014. If at any time after this call, we communicate any material changes to this guidance, we intend that such updates will be done using a public forum, such as a public press release or publicly announced conference call. The matters that we discuss today, other than historical information, include forward-looking statements relating to our future financial performance and other performance expectations. Investors are cautioned that forward-looking statements are neither promises nor guarantees. They involve risks and uncertainties that may cause actual results to differ materially from those projected in the forward-looking statements. Some of those risks and uncertainties are detailed in our filings with the Securities and Exchange Commission, including our fiscal year 2013 Form 10-K and our quarterly reports on Form 10-Q. The company disclaims any obligation to publicly update or revise any such forward-looking statements to reflect events or circumstances that occur after this call. Our prepared remarks will also be presented within the requirements of SEC Regulation G, regarding generally accepted accounting principles or GAAP. I would like to now turn the call over to Mr. Darin Billerbeck. Please go ahead, sir.
Darin G. Billerbeck: Thank you, David. And thanks to everyone for joining us on our call today. We started 2014 off with the same strong momentum and excitement that we ended 2013. As a result, we are pleased to report that Q1 was our fifth consecutive quarter of revenue growth. Our revenue growth is nearly 8% in Q1 over Q4 is even more impressive when you consider the strength in Q4. We delivered gross margins of 56% above the high end of our guidance and earnings of $0.10 per share compared to $0.06 per share in Q4 and $0.02 per share in Q1 of 2013. The bottom line is, we are executing to our growth strategy and continue to drive the company forward. We are confident in Lattice's future our ability to add value to our customers and finally to increase our shareholder value. A few key takeaways from Q1 are number one, demonstrated business model and sustainability, we’ve implemented and/or executing to plan as evidenced by our results over the last five quarters. Number two, Quick Turn product introductions and ramp, great products get us in the door. Our ability to develop Quick Turn product introduction and ramp those products into high volume allow us to increase opportunities with our customers this includes our demand forecasting, inventory management and support. Stability and reliability are essential. Number three, margin leverage our high volume production is delivering leverage in our cost structure as we expand in the consumer markets. In Q1 this leverage helped us to drive gross margins to 56%. Number four, continued customer momentum our ability to execute is allowing us to diversify a single win at a single customer into multiple wins across multiple platforms. This is the case of success building on success and at opening the doors for us at new customers. Several of these wins are at large global consumer OEMs while other wins or at company seeking to harness the power of programability to enhance their products and accelerate their time-to-market. Number five, finally our value proportion and mobility is driving growth in other markets. We’re actively applying what we learn about mobility into industrial, scientific, medical and computing. This approach ultimately increased our customer base that requires low density, low power, customizable solution. One example of our traction and success is our relationship with Google. We’re pleased to announce last week that Google's Advanced Technology and Project group selected Lattice FPGAs for its Project Ara initiative, under this ambitious initiative, Google will deliver the world’s first modular smartphones for customers to configure from a variety of modules. Lattice will enable critical connectivity between reference implementations of removable modules and the Project Ara endoskeleton. The low power and small footprint of Lattice FPGAs meet the system requirements of thermally constrained environment. We also provide the flexibility to support the MIPI UniPro network protocol that will be used for connectivity between modules. Finally, our FPGAs allow developers to go from prototype to production fast, reducing the product development effort and time-to-market. Another growth opportunity our strategy supports is the proliferation of the Internet of Things. A recent report from Morgan Stanley put the Internet of Things at a potential reaching tens of billions of units in 2013. To put this in context the mainframe is believed to have created 1 million units, the PC 100 million units and the mobile internet a billion units, the numbers are big. Programability is attractive to a wide range of devices, it can allow updates, facilitate communication, create differentiation and enable last-minute feature additions. As part of the strategy of pursuing these potentially high volume opportunities we continue to make strategic investments and our roadmaps for the future. One such launch we’re excited about is our ECP5 family. The ECP5 family is ideal for small-cells, microservers, broadband access, industrial video along with other high volume applications with a lowest possible cost, lowest possible power and the smallest-possible form-factors are crucial. We are effectively removing development obstacles and breaking the rule that conventional FPGA should be the highest density, power hungry and expensive. We expect to be qualified in shipping volume order of our ECP5 devices in Q3 of 2015. Let me give you some additional data points about the quarter before turning the call over to Joe. Revenue from new products increased more than 23% in Q1 to $50.9 million. This was lead by the increased demand for our iCE40 and ECP3 products in support of our consumer and comms businesses. Revenue from mainstream products declined about 8% to $33.1 million, while revenue from mature products increased about 3% to $12.6 million, these results continue to be consistent with market trends and also reflects a mix shift in our business. By geographic basis revenue from Asia, including Japan increased 7% and represented 75% of the total revenue, both in consumer market and a key customer communications market in Asia with partially offset by Asian distribution decline. Revenue from the Americas comprised 10% of the total revenue was down about 16% or approximately $1.7 million, revenue in Europe accounted for about 15% of the total revenue and was up 36% or approximately $3.9 million. Improvement in Europe continues to be slow. On an end-market basis, industrial, scientific, medical and computing was about 28% of the total revenue in the first quarter compared to 32% in Q4 and down about 7% on a dollar basis. Communications represented 41% of the total revenue in both the first and fourth quarters. On a dollar basis comms revenue increased nearly 10% sequentially the ongoing build out of China communications infrastructure continues to drive this markets. Our consumer market revenue increased to 31% of the total revenue in the first quarter of 2014 from 27% in Q4. On a dollar basis the consumer market revenue increased more than 23% quarter-on-quarter. That concludes my initial comments I will now turn the call over to Joe. Joe?
Joe Bedewi: Thanks Darin. Revenue for the first quarter was $96.6 million increase of nearly 8% from the fourth quarter and an increase of almost 36% from $71.2 million in the first quarter of 2013. Gross margin for Q1 was 56% compared to 54.3% in the prior quarter and 53.6% in the first quarter of 2013. As Darin mentioned our Q1 gross margin strength was held by product cost reductions due to high volume production and mix. The Fujitsu process transition initiated in Q3 continued to have a minor negative impact on Q1 gross margin. We expect cost associated with this transition to impact margins through Q2. Our long-term gross margin target remains in a mid 50% range, operating expenses for the first quarter came in at $40.7 million, there are several puts and takes within OpEx, the bottom line is we came in approximately $2.2 million above our Q1 guidance, primarily due to variable cost driven by our significantly higher revenue. As a percentage of revenue OpEx declined 42.1% in Q1 2014 from 45.1% in Q4 and 49.9% in Q1 2013. Net income for the first quarter was a $11.98 million or $0.10 per basic and diluted share, as compared to net income of $6.5 million or $0.06 per basic and diluted share in the fourth quarter and net income of $1.9 million or $0.02 per basic and diluted share in the year ago period. For the quarter diluted share account was approximately a $119 million shares. Operating cash flow was $2.9 million for Q1, we ended the quarter with cash and cash equivalents and short-term marketable securities of approximately $219.5 million and continue to have no debt. Accounts receivable at the end of Q1 were $66.7 million as compared to $50.1 million at the end of last quarter. Day sales outstanding were 62 days compared to 50 days last quarter. The increase in both accounts receivable and DSOs is a function of our strong Q1 revenue coupled with our year-end balance being our traditional accounts receivable low point for the year. Inventory at quarter end was $58.2 million compared to $46.2 million at the end of 2013. This expected increase in inventory reflects bills of our XO and XP inventory in conjunction with the Fujitsu fab transition, which we have previously discussed. As well as an additional ECP3 inventory to fulfill specific future demand, months of inventory now stand at 4.1 month compared to 3.4 months at the end of Q4, we spent approximately $2.4 million on capital expenditures and incurred $5.9 million in depreciation and amortization expense during the quarter compared to $2.3 million and $5.6 million respectively in Q4, there was no activity under our share repurchase program in Q1. This concludes the financial review portion of the call. And I am going to turn it back to over to Darin for a look at the second quarter business outlook. Darin?
Darin G. Billerbeck: Thank you. Joe. In summary, Lattice is in great position based on our teams hard work and extra effort to create innovative – deliver with lot of execution, we have very compelling opportunities in front of us and are focused on keeping the ball moving forward. Our vision to be the undisputed leader of providing low cost, low power, small footprint FPGAs to applications were time to market is crucial is becoming reality, while we have momentum there is still more to do. We can achieve our goals based on the strength of our strategy, technology, customers and employees. In terms of our specific expectations for second quarter 2014, we expect revenues to be flat plus or minus, flat to plus 4% compared to Q1. Q2 gross margins are expected to be approximately 55% plus or minus two points. Total operating expenses are expected to be approximately flat on a sequential basis. This concludes our prepared remarks. Operator, we will now be happy to take any questions.
Operator: (Operator Instructions) Your first question comes from the line of Tristan Gerra from Baird. Your line is open.
Tristan Gerra – Robert W. Baird & Co., Inc.: Hi, good afternoon.
Darin G. Billerbeck: How are you doing, Tristan.
Tristan Gerra – Robert W. Baird & Co., Inc.: Hi, I think last year you had mentioned that you thought you would be in 8% to 10% of smartphone units. Do you have a revised target for smartphones and also tablet for this year, in terms of percentage adoption rate you think iCE40 can achieve this year?
Darin G. Billerbeck: Tristan, we originally, we said hey we’d like to get to about 10% last year we were probably by around that number. If you look at it from a unit basis, I think this year as we look at it we will do a little bit better than that based on the wins that we have. And I think long-term if you ask me, what’s the total that you could achieve, that’s a short-term or mid-term it’s probably 30% to 40%. And then after that who knows based on different opportunities that come about. And is there some other things that go on in the ecosystem like Google that can change some of that slightly. So it’s hard for us to tell long-term, but I think the goal short-term we’re very clear, better than 10% goal probably medium-term is somewhere around 30% to 40% I think we can get there.
Tristan Gerra – Robert W. Baird & Co., Inc.: Okay. And then Xilinx, who we know is not your competitor, inferred on the call yesterday that some of the China-based OEMs were ordering ahead [of firm] (ph) demand, presumably due to supply concerns. So, is that a trend that you're seeing? I think Altera is also saying today that they expect China Mobile ordering to kind of flatten in Q3; so, Q2 being kind of the last dealing, at least very near term. Is that a trend that you are seeing? How would we - should we look at your communication revenue into the second half?
Darin G. Billerbeck: I don’t know that we have the same markets they do, because again we started really ramping up on the comms section in Q3 of last year. But I think that you’re going to start seeing the whole China build out, it’s probably going to level out. I’ve got two different use on it from different people within China, once does not have build out last till the middle of next year. But it’s not going to go up from here just kind of flatten and move. And then there is other people that think at the end of this year it will start to slowdown. But if you look at traditional things that we’ve seen typically Q4 is not as strong as Q3 right two to three years. But unfairly, I’m confident that as we look at Q3 and consistent with Q2 that’s not a bad thing. I think the bigger challenges kind of go beyond Q4 of next year do they continue that build out in aggressive manner.
Tristan Gerra – Robert W. Baird & Co., Inc.: Okay. That's very useful. And then just one quick one - you mentioned that you're building inventories of ECP3. Is that related to China or are those new design wins? Any color that you could provide on this?
Darin G. Billerbeck: They’re related to China.
Tristan Gerra – Robert W. Baird & Co., Inc.: Okay, great thank you.
Operator: (Operator Instructions) Your next question comes from the line of Richard Shannon of Craig-Hallum. Your line is open.
Richard C. Shannon – Craig-Hallum Capital Group LLC: Hi, Darin, and Joe, how are you guys doing?
Joe Bedewi: Hi, Richard, great.
Richard C. Shannon – Craig-Hallum Capital Group LLC: Great. Congratulations on some very nice numbers here. Great to see. A few questions from me. Maybe a first couple on the mobile side here. I'm kind of curious – on your first-quarter results, your consumer meeting, I am suggesting mobile doing very well in the quarter. Can you give us a sense of what was driving that? Would that be your single largest customer, or were there other customers helping to drive that strength there?
Darin G. Billerbeck: Single customer is the primary but there were some other customers that were coming online from design win from last year.
Richard C. Shannon – Craig-Hallum Capital Group LLC: Okay. Maybe if you can follow up on that, Darin, as we look forward, you know, like, how many customers can we see, you know, maybe by the end of the year? And any of them - you kind of alluded in your prepared remarks to one or more that could be platform-oriented - that could be sizeable in volume. Can you give us any more characterization of that, please?
Darin G. Billerbeck: Yes, we took a goal that gets to the 7 out of 10 shipping in production right by this year. I think we’ll be pretty darn close to that by the end of the year.
Richard C. Shannon – Craig-Hallum Capital Group LLC: Okay, any sense of how many could be sizable platform type of wins?
Darin G. Billerbeck: I don’t, yes its kind of if I tell you that and you know more than I am supposed to tell you right. So I think the key is we are in all of the key one that we want to be in right, there is probably a couple that are going to take sometime to get into the biggest highest volume, but we’re comfortable with that strategy that we have and we’re comfortable with the momentum that we have.
Richard C. Shannon – Craig-Hallum Capital Group LLC: Okay. Fair enough. One more on mobile, if I could, guys. As you look out, you know, kind of, next, say, four to eight quarters or so on your mobile business, how do you view ASPs and gross margins there? Is that something where you can kind of keep the ASPs level with where you've been the last few quarters, or is there going to be some pressure on that at some point?
Darin G. Billerbeck: So, if you look at that kind of what goes on within that consumer market if you look at the product shipments, as we have in specific terms for specific customers. I would expect more second half smaller customers and user platforms to ramp in versus the first half of this year, its more our big player. Right?
Richard C. Shannon – Craig-Hallum Capital Group LLC: Okay, that is helpful and just...
Darin G. Billerbeck: That actually enable us to help out with the margin, so it gives us a little bit of potential relief on margin there still will be margin pressure going forward. But if we do get that broader base we get a little bit of support there and we still have cost reductions that come into play as the volumes maintain.
Richard C. Shannon – Craig-Hallum Capital Group LLC: And those ASP?
Darin G. Billerbeck: Richard the way that you try to maintain your ASP or even raise them, you suck in functionality from other devices. So that the bill of material from your OEMs goes down overall, Even though your ASP may say the same you’re pulling more features for them if you wanted to go up. And you are pulling in more devices from outside of what you do, but the overall bill goes down, your ASP can go up or flatten depending. And our cost structures built on it flatten. And so if we go up it increases the margins.
Richard C. Shannon – Craig-Hallum Capital Group LLC: Got it. Okay. One last one from me, just regarding your guidance revenues for the second quarter give us a sense by end markets which – where you're going to see growth or declines in those three areas?
Darin G. Billerbeck: I think so in consumer it’s probably going go down slightly. And communications are probably be flattish, and the overall rest of distribution in other markets haven’t come up. So that’s how we get to the numbers that we did.
Richard C. Shannon – Craig-Hallum Capital Group LLC: Okay. Fair enough, guys. Thanks a lot. And once again, congratulations on a nice quarter.
Darin G. Billerbeck: Thanks Richard
Operator: (Operator Instructions) Your next question comes from the line of David. Duley of Steelhead. Your line is open.
David A. Duley – Steelhead Securities LLC: Yes, thanks for taking my question. I was wondering on the comms base, do you anticipate the spending broadening out there beyond the China build-out, or is there any other geographic regions that are percolating there or is that pretty much it?
Darin G. Billerbeck: They hear a little bit about some further builds in Europe and also some further builds in the U.S. right, the people are talking about I don’t anticipate those to be as largest the China build out. But again I think those things are starting to come on I think people are starting to increase the investment as things are moving long as they reposition to get their subscribers and also get the data plans all in place. On the U.S. is pretty much covered on LTE Europe has zero. So as you go to Europe I think France is the only LTE signal I’ve ever gotten in all of Europe. So I think you’re going start to see Europe bounce back and then there is other countries within Asia that will start to build out a little bit. But nothing that significant I think long-term, and I say long-term is probably into 2015 and 2016.
David A. Duley – Steelhead Securities LLC: And was - did the European revenue grow sequentially and what was reason behind that?
Darin G. Billerbeck: It grew, but it was just more we do a broad market distribution play there. So it just – it’s more our industrial, scientific and medical and so some of that comes back there are some direct customers and there so get the little bit next. But overall it’s just strength in Europe and we were talking about that a long time ago it over it’s just get little bit a strength in Europe, but margins we get a little bit of that of uplift, you saw little of that, but it’s not a naturally right onto. It’s now like, it’s coming back in a big way. I mean last quarter, we talk but it not dropping this quarter it went up again. So it feels like, we’re in hover mode. We had some nice uptick this quarter. So, first call it there is a turn now.
David A. Duley – Steelhead Securities LLC: So, the European uptick wasn't behind why the gross margins were surprisingly better.
Darin G. Billerbeck: It helped, but it was not the driver.
David A. Duley – Steelhead Securities LLC: Okay and just along just a follow on with that just the key that the number one or two levers why margins were better than you had expected where what again?
Darin G. Billerbeck: Volume and we had some cost reductions that flow through faster than we’d anticipated because of that volume.
David A. Duley – Steelhead Securities LLC: So you anticipate using the iCE pack line to 28 nanometer any time soon is that on the roadmap or subject there?
Darin G. Billerbeck: Yeah, I wouldn’t say this, you’re always going to see the iCE family beyond 40 per certain types of those packs because our certain capability 40 has. As they move to 28 nanometer, it will only be movement when we can get substantially lower power and lower cost. And what will happen when we move iCE which eventually will go to 28 nanometer you’re going to start seeing quite a bit of different functionality on FPGA’s and mobile when you do today.
David A. Duley – Steelhead Securities LLC: Okay. And final question for me is, do you have an idea of how much - do you have small cell revenue now, and could you just give us an update as to what you might see in that marketplace?
Darin G. Billerbeck: Yes, there is not of small-cell revenues that you would again right almost that again right home about today. It’s about the design wins that you’re seeing. I think more importantly beyond even the small-cell. If some of the a trending that we’re seeing and the microservers and some of other back off by fabrications were people are moving to even smaller pin-out smaller form factors, less fan, yes so there is not a lot of ventilation in the units and they can tighter package pitches that we’re offering. Because I think in old traditional thing you had giant fans, bigger pitches, giant board of the power and people are starting to realize that they want to have significant reductions in the overall power which takes smaller form factors, lower power devices and it takes enclosures where you don’t have ventilation. So I think that’s going to be you hear people refer to some of that is pizza boxes you hear them talking about very small network things that you are start seeing in business and I think it’s different in likewise like us, it’s a portal for ever a wireless LTE network that been connect into the AT&T or Verizon
David A. Duley – Steelhead Securities LLC: Okay, thank you.
Operator: Your next question comes from the line Sundeep Bajikar of Jefferies. Your line is open.
Sundeep Bajikar – Jefferies & Company, Inc.: Hi, guys. Thanks for taking the question first one on mobile can you just give us an update on the competitive dynamics for iCE? Has the landscape changed, given the solid success that you've seen in that area?
Darin G. Billerbeck: Yes, I mean I think in iCE where we start and where we are today is vastly different right. So we started with some simplistic function people talk about IRDA they also talk about some of the fingerprint recognition things. And there is a lot of differences in today’s iCE shipments and they were and when we started. And I think the key is the thing ahead of that is you look around you. And for instance there is simple things like capacitors, resistors, a bunch of things that when you look around and you see that within the device the actual board layout, we’ve stuck some of those things simplistically and then obvious in smaller form factors plus revolving those features set. The device that we had today that’s an iCE based product actually has bunch of drivers and different things on it one thing it did before. Because now it has the ability to integrate even more that’s on that board than had so it’s quite a bit different there is lot of competition we don’t play in sensor hubs as much as people think we are kind of a complementor in the sensor hub technology. So when you hear about micros entering in different things those are different functions micros very instructions set-oriented very processing oriented, what we do is like the feature rich enhance spend and then the connection of different devices with the interfaces that we serve along with adding feature of that at they want to add last minute. Because a lot of these guys will walk up just last minute and say we need this the smaller tier guys they did give me this is a standard platform and I’m good. So it’s two different models high end model with very aggressive differentiating guys, its all about the new features now they add value and create new listings of the people want to adopt the lower end phones is more about just give - low cost solutions. So two different markets focuses in two different models we support.
Sundeep Bajikar – Jefferies & Company, Inc.: Okay. Great. That's extremely helpful. And then, back on the product cost, can you just help us understand where Lattice is in terms of all the product cost reductions, excluding the volume benefits flowing through? Are most of the cost reductions you had planned for, now flowing through the model, or is there a continued trajectory that we should expect?
Darin G. Billerbeck: There are still opportunities for cost reduction, we have package changes, we have different products coming out with different pitch packages that will help us long-term and cost also. So there is still a trajectory for cost improvement it’s in play.
Sundeep Bajikar – Jefferies & Company, Inc.: Great, awesome.
Darin G. Billerbeck: Not necessarily volumes specific there.
Sundeep Bajikar – Jefferies & Company, Inc.: Sure. And then, on the computing side, are there any structural changes that you're seeing there? I notice that you're not reporting that separately any more. If you can provide some color around the dynamics underlying computing, that would be great -- particularly, when do you start to see meaningful shipments and revenues from microserver, or to that extent the cloud buildout, more broadly speaking?
Darin G. Billerbeck: Yes so, it comes down to lot of the new form factor blade servers that people are coming out with the small pitch. Like a lot of that stuff is the hot thing and I think with cloud computing, you are going to begin to see that. We took that out, because it was a small portion of our revenue, its easier as we go through to combine that with other portions of the market, because unless there is something big that we focused on that’s it. We use – our computing products actually are an off shoot of our comms or ISM products anyway. So it make more sense to the align it there than it does into call it out separately, but we can tell you the trends on computing are really going to be all about low cost, low power and small form factors and in the home base they were about high 10 count packages with 1 millimeter pitch and they were super expensive. And I think the whole micro server maybe Google, maybe Facebook all these other the guys getting into clouds they’re driving a completely different model, we are prepared for it that market got gigantic maybe we have to call that separately, but for the day with the revenue base that we have, it just in make sense.
Sundeep Bajikar – Jefferies & Company, Inc.: Okay. Great. And just a last one from me. If you could talk more about the ECP5, and help us understand how it compares with the ECP3 or even the iCE line of products, and if it expands your addressable market in any way?
Darin G. Billerbeck: Think about ECP5, as the cost reductions on steroids or ECP3. So it’s a very small form factor device an 85K, ECP5 fits in a 10 by 10 package and its super low cost. So what we choose to do instead of going after this 300 million or 300,000 plus device we chose to go after super-low price points. So, when we look at our devices it's like $3, $5 $10 how much cram in a $10 ASP product at the lowest power on the planet. And that's what we did.
Sundeep Bajikar – Jefferies & Company, Inc.: And you still have SERDES capabilities and --
Unidentified Company Representative: Yes still has the same SERDES, it still has lot of that stuff, we just make sure that the SERDES was very lower power in the entire product footprint was small on after even call, at even lower standby current. So we took a different approach in our competitors then we think its more in fact or die size on 40 nanometer with our architecture on 25-K, LED devices smaller than both filings and opera by quite a bit so we can compete on our technology with devices from tech generation behind because of the choice of density, choice of technology and the choice of architecture that we play.
Sundeep Bajikar – Jefferies & Company, Inc.: Fantastic. Thank you very much. Nice job with the quarter.
Unidentified Company Representative: Thanks Sundeep
Operator: Your next question comes from the line of Richard Shannon of Craig-Hallum. Your line is open.
Unidentified Company Representative: Hi, Richard.
Richard C. Shannon – Craig-Hallum Capital Group LLC: Hey guys, a couple of follow-ups on some other questions. Want -- maybe want to follow up on the one on the competitive risks. You mentioned, you know, talking about microcontrollers. Wonder if you could specifically address whether you are seeing, or maybe you're hearing rumors, or seeing some greater competition, from programmable logic guys -- either the ones that are bigger than you or smaller than you?
Unidentified Company Representative: We don’t see a lot from the bigger one and as you and I’ve talked about a little smaller ones are typically more focused on specific products. And products that like when we talk about some of the IRDA products are go on, I don’t want to give you the details on all the IRDA. What were it was two years ago it not we’re see as today. It’s a lot more complex on people think and it’s not the only function. For the most part when we do in advance device on iCEs the IRDA in one of many things that we do the customer look that it almost pretty. So that’s the competition the domestic you’d get people to one or get in to market. And there on microcontrollers if you look at most road remote control today. There is microcontroller is that drive IRDA in the standards remote control. Obviously, that’s the great opportunity I think for microcontroller in terms in there but then they go head-to-head with us were smaller were lower power we have more features we hitting of services. So on the question is that they only didn’t IRDA and that’s one thing, because in a comes down that who can do it I the smallest form factor and the small package we were probably still in it but I’m not sure that’s the market that we’re really amplifier our market is by all the other features that could be entirely turning barcode labeling all the service stock that we do. That’s the kind of things if you want to think abut that’s not just one specific device it’s multiple devices and that’s the platform itself.
Richard C. Shannon – Craig-Hallum Capital Group LLC: Okay. That's fair enough. My other question was on the -- your communications business. I notice that the reported [earnings] within first quarter was the -- was even a little bit higher than your previous peak back in 2011. I think there was a previous question about looking forward on that. If we start to look on it kind of on a yearly basis, what would be the puts and takes to thinking about, you know, 2015, and the comms being higher or lower than what it could be this year, and what would be the drivers of such a trend?
Unidentified Company Representative: Yeah, first you think about you have to look at it from a product perspective. So in 2010 and 2011 the comms revenue was primarily driven by MachXO as the primary comms product - highest volume product that we had. And it was pretty substantial 2014 is driven by ECP3, XO and XO2. But now you got two different products that are coming in with Sapphire coming online next year. So which is ECP5, yes its called Sapphire that’s ECP5 side comes on next year, we’re already because of ECP5 attractiveness we are already getting people that are asking as to close on business to ramp next year. Right? So that’s what interesting it normally takes a year and half two years sometimes three years to get these high end comms. And I think that’s testament to the fact that they are cost reduction of existing platforms and they want to have different even smaller form factors on lower power then they had on initial one. So ECP5 gives us the ability to began to recover as ECP3 begins to fall off XO2 begins to fairly on top of XO in the comms backhaul and all the other devices, because XO and XO2 plan the entire thing from the remote radio head all the way through the backhaul and now we’ve also introduced XO3 which is an is an even higher, lower device that we launched last year that has opportunity to play and once again the backhaul all the way through the remote radio head. So as we had before we had one product in 2011 that we’re shipping, today we will have XO2, XO3 we will have ECP5 and then you’ll still have XO and ECP5.
Richard C. Shannon – Craig-Hallum Capital Group LLC: Okay, that’s great perspective. Thanks a lot guys, appreciate it.
Unidentified Company Representative: Thanks Richard.
Operator: There are no further questions at this time. I will now turn the call back over to Darin Billerbeck, CEO for closing comments.
Darin G. Billerbeck: Okay, appreciate that everybody joined us on the call today, obviously it was a solid quarter for us and we are proud of that, we are proud of our employee base and more importantly we are proud that the strategy we put in place. Over three years ago it’s beginning to actually resonate with our investors, our customers and we continue to drive the technology the direction we want. So, thanks again for join us on the call, we’ll talk to you next time. Thanks.
Operator: This concludes today’s conference call. You may now disconnect.